Operator: Thank you for joining today’s Capital Southwest First Fiscal Quarter 2019 Earnings Call. Participating on the call today are Bowen Diehl, CEO; Michael Sarner, CFO; Chris Rehberger, VP Finance. I will now turn the call over to Chris Rehberger.
Chris Rehberger: Thank you. I would like to remind everyone that in the course of this call, we will be making certain forward-looking statements. These statements are based on current conditions, currently available information and management’s expectations, assumptions and beliefs. They are not guarantees of future results and are subject to numerous risks, uncertainties and assumptions that could cause actual results to differ materially from such statements. For information concerning these risks and uncertainties, see Capital Southwest’s publicly available filings with the SEC. The Company does not undertake any obligation to update or revise any forward-looking statements, whether as a result of new information, future events, changing circumstances or any other reason after the date of this press release, except as required by law. I will now hand the call off to our President and Chief Executive Officer, Bowen Diehl.
Bowen Diehl: Thanks, Chris and thanks to everyone for joining us for our first quarter fiscal year 2019 earnings call. Throughout our prepared remarks, we will refer to various slides in our earnings presentation, which can be found on our website at www.capitalsouthwest.com. We are pleased to be with you this morning and to announce our quarterly results. Our focus remains on building a lower middle market portfolio, consisting largely of first lien senior debt with equity co-investments across the loan portfolio where we believe significant equity upside opportunity exists. We continue to execute under our shareholder friendly, internally managed structure, which at its foundation, closely aligns our interest with the interest of our fellow shareholders in generating sustainable long-term value through stable increasing dividends and NAV per share growth. We have also endeavored to bring Capital Southwest to best in class in all areas. One of those areas is corporate governance. With the conclusion of a successful shareholders' meeting last week, we have added a new member to our board. Christine Battist, the current CFO of Avison Young in Chicago has joined our board and will serve as the audit committee chair going forward. Christina has deep financial services expertise at both public and private institutions. We are excited about the expertise, perspective and diversity she will bring to the Capital Southwest board. Now for our financial results. Laid out on slide 5 are some important summary points on our performance for the quarter ended June 30, 2018. This quarter, we earned $0.31 per share of pre-tax net investment income and paid $0.29 per share in regular dividends. In addition, we announced a supplemental dividend program, which initially paid out $0.60 per share to shareholders during the quarter, while also announcing our expectation that we will be distributing $0.10 per quarter going forward. The supplemental dividend program was put in place to distribute to shareholders over time our undistributed taxable income or UTI to use an industry term, created from income and gains generated from our investing activity that are over and above our recurring portfolio income. As a result of the $0.89 per share in total dividends paid out during the quarter, our total annualized dividend yield for the quarter was 19.7%. If one were to look at our yield, including only the announced and paid regular dividend of $0.29 per share plus the $0.10 per share expected go forward supplemental dividend, our annualized yield for the quarter would have been 8.6%. During the quarter, we experienced net portfolio appreciation of approximately $7 million, generating an annualized total return on equity for the quarter of 15.1%. During the quarter, we also grew our portfolio from $393 million at March 31, 2018 to $411 million at June 30, 2018, originating 67 million in total commitments in three new portfolio companies and three add-on investments in existing portfolio companies. Five of the six deals were directly originated by our investment team, as they have been gaining significant traction in the market over the past 3.5 years, which has generated strong deal flow. The other deal was an add-on investment in a large club first lien deal in the behavioral health industry in which we are a participant. During the quarter, we exited three companies receiving 40 million in proceeds and generating a weighted average IRR on exit of 23.6%. Our I-45 senior loan fund also continued its solid performance, providing a 13.1% annualized cash yield on our capital in the fund for the quarter. Finally, during the quarter, we continued to grow the right side of our balance sheet, introducing our at the market or ATM program for unsecured Baby Bonds, which trade on the Nasdaq under the symbol CSWCL. To date, we have raised approximately 12 million in gross proceeds at an effective yield of 5.88% through this program. Additionally, we added 30 million in new commitments to our credit facility from both new and existing lenders, bringing our total credit facility commitments to its current level of 210 million. As of the end of the quarter, we had 65 million outstanding on the credit facility, leaving us 145 million in availability to continue to grow our portfolio and our earnings. We are pleased to note that 3.5 years into our credit strategy, we have a portfolio with no loans on non-accrual and only one investment on our internal watch list. Our current watch list credit is a distribution and logistics company in which we have a first lien loan and no equity. The company's performance has improved and the sponsor and equity investors have invested capital to support the company's growth. As a result, we continue to feel good about the security of our shareholders capital in this deal. As we have illustrated in past quarterly updates, slide six shows our continued progress and track record of increasing shareholder dividends and driving increases in NAV per share through thoughtfully building a portfolio of well performing assets. On this slide, we illustrate both NAV per share and adjusted NAV per share. Adjusted NAV per share, defined as NAV plus cumulative supplemental dividend paid out over time, increased from $19.34 per share to $19.73 per share, which was largely driven by appreciation in our equity investments in Deepwater and MRI. Both companies are performing well with the performance of Deepwater improving significantly in terms of revenue, cash flow and backlog, as the oil and gas industry has recovered. At the same time, we have seen strategic interest in this asset and we will look to sell this position in the near term if the opportunity arises. In regards to MRI, the company continues to perform well with growth being driven by increased profit margins on its core products, increasing market penetration on several new products and the implementation of several lean manufacturing initiatives on the operational side. We are extremely excited about this business and its potential to both increase its market share as well as penetrate new markets. The management team has done an excellent job, increasing the value of this investment and there's also been interest in this business from both strategic and financial buyers. As we have said on prior calls, we continue to work to maximize the value of our investment in this company and we'll look to sell this investment in the intermediate term, most likely through a fully marketed auction process. Consistent with other large gains we have harvested in the portfolio, we would likely share a portion of this gain with our shareholders, while also utilizing a portion of the gain to further bid our supplemental dividend program into the future. Our investment strategy is described on slide 7, which focuses on a blend of lower middle market and upper middle market assets, provides us strategic flexibility as we have built the robust capability to seek attractive risk adjusted returns in both markets. In our core market, the lower middle market, we directly originate opportunities, consisting of debt investment as well as equity co-investments made alongside our debt. Building out a highly performing and granular portfolio of equity co-investments is important to driving growth in NAV per share, while mitigating future credit losses. On the other hand, our capability and presence in the upper middle market provides us the capability to opportunistically invest in a more liquid market when attractive risk adjusted returns exist. This quarter, as seen on slide 8, we committed 67 million to three new portfolio investments and three add-on investments to existing portfolio companies. Four of the investments were in the lower middle market and two included equity co-investments. And again, five of the six transactions were directly originated and led by our investment teams. On a weighted average basis, the debt investments made during the quarter had a yield to maturity of 11.1%. Our activity this quarter included 50.2 million in first lien debt and 3.1 million in equity co-investment, funded at transaction closings and 13.6 million in commitments to fund in the future through either revolving loans or delayed draw term loan structures that commit to fund certain amounts based on certain conditions, including EBITDA growth targets. In the case of revolving loans, we, from time to time, will commit and close on our revolver from a timing perspective and then bring a traditional bank in at a later date to refinance this out of the facility. American Nuts was a good example of such a transaction this quarter. For term loan facilities that we believe will grow significantly over time, we will look to bring in one of our lender partners as participants with us. Environmental Pest Services is a good example of such a transaction this quarter. During the quarter, as seen on slide 9, we received 40 million in proceeds from the exit of three investments, one upper middle market and two lower middle market investments. The exits generated a weighted average IRR of 23.6%. Specifically, the exit of Titan Liner generated proceeds of 25 million and a realized gain of approximately 19 million. This continues our strong track record of generating strong risk adjusted returns on our shareholders' capital, as we have now had 22 exits since the launch of our credit strategy three and a half years ago, representing over 162 million in proceeds and a weighted average IRR on the exits of 17.2%. Also worth noting, our previous watchlist credit, Wastewater Specialties, exited during the quarter for a total IRR of 16.6% as the company was able to merge with a competitor, resulting in payment in full of our loan plus prepayment fees. We're very pleased with the extraordinary outcome our investment team was able to achieve on this investment. On slide 10, we break out our balance sheet credit portfolio, excluding I-45 between the lower middle market and the upper middle market. As of the end of the quarter, the portfolio was weighted approximately 76% to the lower middle market and 24% to the upper middle market on a cost basis. We had 19 lower middle market investments, comprised of first lien debt, subordinated debt and equity securities with an average hold size of $12 million, a weighted average EBITDA of 8.6 million, a weighted average yield of 12% and leverage measured through debt, measured as debt to EBITDA through our security of 3.4 times. Within our lower middle market portfolio, as of the end of the quarter, we held equity ownership in approximately 74% of our portfolio companies. Our upper middle market portfolio consisted of 10 loans, including first lean debt and second lien debt with an average hold size of 7.3 million, a weighted average EBITDA of 81.2 million, a weighted average yield of 10.5% and leverage through our security of 4 times. Our on balance sheet credit portfolio of Capital Southwest as shown on slide 11, again excluding I-45, grew 14% from 239 million at 3/31/2018 to 272 million at 6/30/2018, driven by strong lower middle market and first lien activity. As the portfolio has grown, the percentage of the credit portfolio represented by the lower middle market has increased by design to now 73%. As we have stated on prior calls, we believe the lower middle market to be the market that has demonstrated the most attractive risk adjusted returns through the full economic cycle, as debt pricing terms and leverage are more attractive and we often have the opportunity to invest equity in companies with very interesting growth prospects. While we have increased the percentage of the portfolio represented by the lower middle market, we have also continued to heavily emphasize first lean senior loans in our investment strategy. As of the end of the quarter, we had 86% of our on balance sheet credit portfolio in first lien senior securities. As illustrated on slide 12, our total investment portfolio stood at 411 million as of the end of the quarter. We continue to believe we have positioned our invested assets well for any economic environment we may face in the future. We have a well-diversified portfolio heavily biased towards first lien debt investments, preparing us for a recession, while at the same time, 96% of our credit exposure is invested in floating rate securities as can be seen on slide 13, so that our shareholders also continue to benefit should interest rates continue to rise. Specific to our I-45 senior loan fund, as shown on slide 14, we saw net portfolio growth with funded assets growing to 228 million from 221 million at the beginning of the quarter. During the quarter, I-45 committed 37 million in nine new credit investments, while receiving 26 million in proceeds from portfolio exits. As of the end of the quarter, the I-45 portfolio was 93% first lien with diversity among industries at an average hold size of 2.2% of the portfolio. The portfolio had weighted average EBITDA of 73 million and weighted average leverage through the I-45 security of 3.7 times. Our deal flow of Capital Southwest has been robust over the past few quarters and continues to be very strong today as our investment teams have done an excellent job building and maintaining relationships in the market and bringing in a large number of transactions to review and consider. We believe that maximizing the top end of our deal funnel is critical to having a wide array of deals to consider, so that we are able to employ our conservative underwriting standards in a competitive market and thoughtfully build a portfolio that will perform through the economic cycle. Similar to our comment on prior quarterly calls, the robust market environment continues, providing a generally favorable environment for our portfolio companies. On the capital markets side, the competitive themes are also similar with continued tight conditions in the upper middle market, which we continue to address by investing only small positions in strong companies, which given size, fit nicely in our I-45 senior loan fund. In the lower middle market, while the competitive market conditions continue, it does seem to have stabilized a bit. It hasn't necessarily improved, but also hasn’t deteriorated further. We have been very pleased with the number of transactions where the sponsor or target company has not focused on the absolute last dollar of leverage and the absolute last nickel pricing, but rather focused on qualitative factors when choosing a lender and investment partners, such as relationship, firm reputation, track record as well as firm size and access to senior decision makers. We believe these factors have played well for Capital Southwest. We continue to be focused on executing the investment strategy and employing the investment discipline we have consistently described to you since the launch of our credit strategy 3.5 years ago. As we have stated before, we continue to model each and every investment we underwrite for stress test purposes, assuming the great recession repeats itself during our hold period and insisting that a financial model demonstrates that our loan remains well within enterprise value with our interest being paid through such a cycle. This methodology continues to bias us towards first lien senior debt, while appropriately matching the capital structures at our portfolio companies to the potential volatility specific to the portfolio companies businesses and industries in which they operate. I will now hand the call over to Michael to review the specifics of our financial performance for the quarter.
Michael Sarner: Thanks, Bowen. As seen on slide 15, our investment portfolio produced $11.1 million in investment income this quarter with a weighted average yield on all investments of 10.6%. This represents an increase of $1.2 million versus $9.9 million from the previous quarter, mostly attributable to the net portfolio growth. The weighted average yield on our credit portfolio was 11.7% for the quarter, up from 11.5% the previous quarter. And as of the end of the quarter, there were no assets on non-accrual. We incurred $3.7 million in operating expenses this quarter, excluding interest expense, which was up by $300,000 from $3.4 million in the previous quarter. The increase from the previous quarter was related to one-time fees paid in connection with the addition of a new board member and expenses related to the preparation of annual shareholder meeting materials. Specifically, we spent significant time and resources, strengthening our corporate governance for the benefit of shareholders. For the quarter, we earned pre-tax net investment income of $5 million or $0.31 per share compared to $0.28 per share during the prior quarter. As a result, we paid out $0.29 per share in regular dividends for the quarter, an increase of $0.01 per share over the $0.28 per share paid out in the prior quarter. We continue to focus on growing our regular dividends in a sustainable manner, demonstrated by our last 12 months regular dividend coverage of 104%. As Bowen mentioned earlier, we also paid out a $0.60 per share supplemental dividend in this quarter, as part of our recently announced supplemental dividend program. This program allows our shareholders to meaningfully participate in the successful exits of our investment portfolio. The program will continue to be funded from our current estimated undistributable taxable income, which was earned from realized gains on both debt and equity as well as undistributed net investment income over the past several quarters. As of the end of the quarter, we estimate our undistributed taxable income was approximately $1.25 per share, subsequent to the $0.60 per share supplemental dividend paid. Included in our undistributable taxable income is the realized gain on the sale of Titan Liner, which closed on June 6, 2018. As we think about the likely duration of the program, being mindful of our minimum regulated investment company distribution requirements, the unrealized depreciation currently in our portfolio and the importance of equity co-investments across our lower middle market portfolio to our investment strategy, we believe that the groundwork has been laid for the supplemental dividend program to be in place for the foreseeable future. As seen on slide 16, during the quarter, our NAV per share decreased by $0.21 to $18.87 per share. The $0.21 per share decrease was driven by the $0.60 per share supplemental dividend paid during the quarter, offset by an increase in unrealized depreciation. The net portfolio appreciation for the quarter drove a total annualized return on equity of 15.1% for the quarter. This compares to a total return on equity of 13.7% during fiscal year 2018. Our leverage at quarter end was 0.4 to 1, leaving us ample capacity to continue to grow the balance sheet. As illustrated on slide 17, our on balance sheet investment portfolio mix, excluding capital invested in I-45 was 79% debt and 21% equity at quarter end and 94% of our total portfolio produced income in the form of either interest or dividends. At quarter end, we had significant liquidity, consisting of $145 million of available capacity on our ING led balance sheet credit facility, $15 million in additional capacity on the Deutsche Bank led I-45 credit facility and $12.5 million in balance sheet cash. During the quarter, we increased commitments to our credit facility by $30 million through both adding a new lender and a current lender increasing their commitment, demonstrating continued market demand for financing our investment strategy. As we noted last quarter, we have put in place an ATM program to raise additional capital on our 5.95% December 2022 notes. As of today, we have sold 474,950 shares of our notes under the program for gross proceeds of $12 million at an effective yield of 5.88%. We believe the ATM program is an effective way to raise attractively priced just in time capital, as we continue to thoughtfully grow our investment portfolio. As seen on slide 18, we have significant unused debt capacity and no payment obligations until late 2021, which will enable us to significantly grow our portfolio. I will now hand the call back to call back to Bowen for some final comments.
Bowen Diehl: Thanks, Michael and thank you everyone for joining us today. We're extremely proud of what our team has accomplished so far. Capital Southwest has grown and the business and portfolio have developed consistent with the vision and strategy we communicated to our shareholders three and a half years ago. We continue to work tirelessly to execute our investment strategy and to be good stewards of our shareholders' capital. Everyone here at Capital Southwest is totally dedicated to our number one goal, the creation of long term sustainable shareholder value. This concludes our prepared remarks. Operator, we are ready to open the lines up for Q&A.
Operator: [Operator Instructions] Our first question comes from Mickey Schleien with Ladenburg.
Mickey Schleien: Wanted to ask you about Fast Sandwich, as you made a small investment there and it's a Jimmy John’s franchisee. I do realize it's relatively small, but underwriting restaurants is notoriously difficult. Can you tell us how many restaurant this franchisee owns and what in particular drew you to this opportunity as opposed to other things you may have been looking at?
Bowen Diehl: Yeah. So it’s a good question. So restaurants are not something we focus on clearly. They have 33 restaurants in Chicago and Florida. It's a very, very low levered deal for a private equity sponsor that has an excellent track record in the Main Street Capital in New York and so we’re forming a relationship with. It's a very safe credit. My bigger issue was more, do we want to spend a bunch of time underwriting a $3.3 million. And that really came down to dealing with this sponsor that we're building a relationship with, funding a very small, but very safe low levered credit in a deal that frankly none of the banks really wanted to do without personal guarantees and various things like that and a lot of our competitors, it was really small. So we looked at it as an opportunity to build a relationship, but in a very money good, well-paying loan, just small.
Mickey Schleien: And I wanted to touch on the I-45 fund. Looking at these funds at some of your competitors, the results seem generally to point to how difficult that market is, the more liquid end of the upper middle market. So it would be helpful if you could remind us, how you manage the I-45 fund, what differentiates it from others and how you're navigating such a difficult and tight market for more liquid first lien loans in the leverage loan market.
Bowen Diehl: Yeah. Well, look, I mean, first of all, it's a very large market and I-45 frankly is not a very large fund. And so, taking small pieces of the loans we want to take, you can see the average leverage is pretty low certainly for this market and so we can select certain loans and grow the find, which is really small relative to the market at a reasonable pace and so we can just pick our spots. And frankly, I think Main Street is an excellent partner, as you guys, I'm sure everyone on the phone would agree. And so, we and they have been able to keep, I mean, the fund is not doubling in size, right, I mean, it’s just kind of – it’s own size, it's kind of just creeping along, recapped out, being investing in a few small loans and new deals. And so I look at it as, it's performing very well. But I look at it as that's kind of how you deal with this market. There are nice companies out there, interesting fundamental businesses being financed. This leverage is a little bit higher than we'd liked, pricing is a little bit lower. So, let's take a very granular approach, pick the deals we like and take small positions in it. I mean, if you think about what I just said that fits perfectly in I-45. And, we have a great partner with Main Street, helping us and we and they are migrating through that market. We have a better market with more value, you’d probably see us put more in the same loans, I take larger positions in those same loans if we thought the value was there, and you’d see those starting to show up on our balance sheet. And, you're not seeing that because it's really, really, I like to take small little positions in nice companies and keep a very granular portfolio.
Mickey Schleien: Okay. I understand that approach. And just my last question, we haven't seen the Q yet, but I did notice that the line item labeled other assets grew pretty meaningfully quarter to quarter. Was there something specific there that you wanted to highlight for us that explains that increase?
Michael Sarner: Mickey, that's actually just the dividend payable and the cash to pay the dividend. Mostly, and the supplemental dividend obviously with $0.60, that was a large balance.
Operator: Our next question comes from Chris York with JMP Securities.
Chris York: So your prepared remarks were quite comprehensive and it took out many of my questions. But I have two. So how much was the one-time fee associated with the addition of Christine to the board?
Michael Sarner: So, it was about 130,000 for the search fee related to Christine's hire.
Chris York: And then second question, Bowen, I just wanted to clarify maybe your comments, did I hear correctly that if realized gains continue to occur in some of your portfolio companies according to your expectations, there could be a special dividend in addition to the $0.10 quarterly supplemental dividend?
Bowen Diehl: Yeah. I’ll let Michael comment on that.
Michael Sarner: Yeah. The way we look at it is future gains that we see are going to extend the duration of the programs. They would not increase the size of the supplemental dividend itself, the $0.10 per share. That’s the way we’re thinking about going over in time. What we might see if we have large gains, we might see the ability to share some of that capital in the way of a supplemental dividend on top of. So similar to the $0.60 we just paid, but that $0.10 recurring will continue on. What we've seen is based on the Titan Liner plus the UTI that we had in the previous year, the duration of these programs is approximately, call it, three years and any future exits that occur with that duration into the future.
Operator: Our next question comes from Christopher Testa of National Securities.
Christopher Testa: So just curious, obviously, MRI, you're positive on that. It keeps growing and I totally understand why you'd want to hold onto it and continue to have it to help your NAV. But, I'm just curious how are you looking at this in the context of having a concentrated equity position on the portfolio and have you had discussions with your shareholders and if they express comfort in you guys holding this or I'm just trying to get some more detail on that and what your plans are on it?
Michael Sarner: Yeah. So it’s a good question. So, clearly a concentrated equity position and a BDC credit focus, BDC like Capital Southwest is, in a vacuum, is not a positive thing. You are correct. MRI is growing and the team is doing a great job. We don't think it's core, as I've said in the last couple of quarters. I mean, it's not -- it is an asset that we will ultimately look to sell. But as investors, we’re stewards of our shareholders' capital. So while we don't want to hold onto it for every nickel of every future upside in value, at the same time, we do want to be smart about when we sell it and there are things going on with the company like new products that are getting traction, lean manufacturing initiatives that are showing up in the bottom line and therefore the longer, the more credibility you have in those cost changing elements of the business, the more value a buyer would give you in a sale. Those types of things influence the timing of a sale. So you don't necessarily -- those are things that may make you -- make one -- not want to sell too quick, but at the same time, it is a large investment, while one hand is growing, the reality is equity and so it creates volatility, it could always -- obviously in theory, go the other direction. So we're very conscious of that risk associated with that. So that's why, over the last several quarters, I've made comments about it being an asset that would be potentially for sale in the intermediate term, just to try to add message that, look, it’s not something that's going to be the next spin-off like [indiscernible] was ten years from now, but at the same time, we're going to be smart in thinking about the timing of the sale. Now, there has been interest in the asset. And so, it is something that we're very focused on thinking through the right timing of a sale and we think that’s kind of an intermediate term kind of item.
Christopher Testa: And looking at the broadly syndicated market there's been a bit of a backup in spreads in terms of getting at least marginally better somewhat, has that at all trickled down into the upper middle market, those favorable terms, are you seeing more favorable deal flow like M&A and organic growth as opposed to just dividend recaps or has that not yet happened and you're still dealing with a choppy market where it's still very much a borrower’s market?
Bowen Diehl: And when you say, you're talking about the term -- the things you say, you're talking about in the large market and you're asking me whether it's creep down into the upper middle market with the I-45?
Christopher Testa: Exactly. Yeah.
Bowen Diehl: Yeah. I would say, it's not -- think about the deals we were going to review and I wouldn't say it’s gotten a lot better, but it certainly hasn't gotten worse. Definitely more M&A, less dividend recaps, definitely that's true. And, I'd say, add backs, we're seeing lenders push back the syndication -- syndicate group is pushing back on heavy add backs. So that's encouraging obviously. So those are all -- from that perspective, I’d say, it's probably gotten a little bit better. With respect to spread versus leverage, I'd say it's about the same.
Christopher Testa: And just more of a philosophical question. Obviously, you guys are some of the most cognizant people about where we are in the credit cycle and underwrite accordingly. I'm curious, where are you seeing the relative value between the lower and upper middle market today, because as we were just saying, the upper middle market obviously, there are still more light, there are weaker terms, but at the same time, these businesses cycle far less in the event of a downturn. So should we expect, as you guys are able to now increase your balance sheet leverage more, a greater composition of upper middle market loans that you'll put on balance sheet or is it just more first lien assets, whether they be upper or lower that are going to go on balance sheet?
Michael Sarner: Yeah. I would think about it more as more first lien loans, we're already heavily first lien, but a focus on first lien loans. And maybe potentially even safer first lien loans. I mean, we’re typically lending money from, I was looking through the last several deals, 30% to 50% of value. Deals are 30% loan to value, you are going to have tighter spreads and deals that are 45% to 50% loan to value. So, maybe going even safer of the food chain, not necessarily to the upper middle market per se, but the term -- unless the terms and covenants and credit protections are there, certainly, if you have the same credit protection, same yield, a larger company might be better than a smaller company. Generally, we look at the companies themselves and the industries they're in and if it's a small company that competes with three large companies in an industry, that's obviously not a good thing and that would be a company that would probably have a hard time in a credit -- in an economic cycle. But we see a lot of our deals aren’t in that situation at all. And so, I would say, as we add leverage, we would definitely be even more focused on first line, if that could be true and maybe lower loan to value, which would be maybe slightly tighter spreads, but then ultimately, a safer portfolio. But not necessarily putting more upper middle market assets. I mean, that's really not necessarily the strategy and what we see the value there.
Operator: And I'm not showing any further questions at this time. I’d like to turn the call back over to Bowen.
Bowen Diehl: Great. Thank you, everybody for joining the call. We appreciate your time and we appreciate your support and following us and we continued to have our head down executing and we look forward to giving you further quarterly updates. Thanks a lot.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.